Unidentified Company Representative: Thank you, Alice. Good morning and good evening everybody and welcome to our 2020 full year results presentation. Due to ongoing restrictions as a result of the COVID pandemic we are holding this presentation virtually. As usual there will be time at the end of the presentation for Q&A with Jakob, Peter and our Chairman Simon Thompson. Now I’d like to take a few seconds to point you and to draw your attention to the cautionary statement on Slide 2 which contains important information on the basis of which this presentation has been prepared. With that, done, Please let me hand over to Jakob and Peter. Jakob.
Jakob Stausholm: Good morning and good evening from Perth. I would like to first acknowledge the traditional owners of the land where I'm presenting from today, the Wadjuk Noongar people. I would also like to acknowledge and pay my respect to all traditional owners and indigenous people that host Rio Tinto operations around the world. 2020 was, for Rio Tinto, a year of extremes, a year when each one of us have faced challenges, on a personal and professional level. For Rio, not only did we have to learn to live with the global pandemic; but the events at Juukan Gorge were a terrible chapter in Rio Tinto’s history. Today let me reiterate, the rock shelters at Juukan should never have been touched. We should have dealt with the situation better. It was a dark day for Rio Tinto, for all our employees, and for me personally. It rightly caused considerable damage to many of our relationships, but in particular, with the Puutu Kunti Kurrama and Pinikura people, PKKP for whom it was a devastating breach of trust. Earlier this week I visited Juukan Gorge with the Puutu Kunti Kurrama, PKK elders and personally expressed my deep regret for the damage we caused. I witnessed first-hand the pain we have inflicted. It was a confronting experience and had a profound impact on me. I will never forget my visit to Juukan Gorge, I will never forget the hospitality of the Puutu Kunti Kurrama, PKK elders who hosted me and demonstrated a commitment to rebuild our partnership. The work we have to do at Juukan is beyond remediation at the site. I am convinced that we must not only remediate the site but work in partnership with traditional owners on the development of our business for a shared future. It underlined that we must earn the right to become a trusted partner once more for Traditional Owners, Indigenous peoples, host communities, governments and other stakeholders. It’s going to take time and great effort. But, you have my assurance, this remains a key priority for the Board and the Executive Team. Turning to our 2020 operational performance. I want to thank and congratulate all our employees on their agility, resilience and innovation, which enabled the business to manage the challenges of COVID-19. I’m very proud of how we adapted to the challenges thrown at us. The way we completely overhauled our fly-in fly-out roster arrangements to keep our iron ore business in the Pilbara on track is just one example. In general, we were able to continue all our activities in a safe manner. As a result, we performed strongly. We continued to prioritize safety, and in 2020, we again achieved a fatality-free year. Nothing is more important than operating safely. And we will remain focused on safety every single shift, every single day. Turning to our financial performance. We achieved underlying EBITDA of $23.9 billion, and a return on capital employed of 27%. We generated free cash flow of $9.4 billion. This was after paying $7.8 billion in taxes and royalties, and investing $6.2 billion in growth and sustaining CapEx. From this we returned $6.3 billion to our shareholders. And we did this against an extremely challenging economic backdrop, as governments and businesses everywhere adapted to cope with the pandemic. The main driver for Rio Tinto, and the mining industry, remains China. After some initial weakness in the early part of 2020, the Chinese economy has performed strongly, benefitting from targeted stimulus. This underpinned strong commodity prices, particularly for iron ore. As a company, we also benefited from our host governments recognizing mining as an essential business, and allowing us to continue operating and delivering products to our customers. This meant people remained employed, suppliers had our business, and taxes and royalties continued to be paid. Our balance sheet remains very strong, with net debt of less than $1 billion at year end. This enabled us to declare a total dividend of $9 billion, representing a 72% pay-out ratio. This exceeds our policy and is in line with our practice during the last five years. During 2020, we also made further progress in addressing climate change. Mining and the products we produce are vital in the transition to a low-carbon economy, and Rio Tinto will be at the forefront. To underline our commitment, we have set our first scope 3 goals. This builds on our existing climate commitments. We made genuine progress across a number of areas in 2020, and have strong foundations to build on. But, as I said earlier, we also need to improve in some areas. I’ll set out how in a moment. But, let me first hand over to Peter to run through our performance in more detail.
Peter Toth: Thank you, Jakob. Good morning and good afternoon everyone. I am honored to be here as interim CFO. I’ve worked at Rio for the past 27 years across a number of roles including Group Controller, Head of Health Safety Environment and Communities and Head of Investor Relations. Let me first turn to the markets, starting with iron ore. Overall, global steel production fell by 1% in 2020. While China lifted its output to a new record of just over 1 billion tonnes, we witnessed a 9% decline in the rest of the world. This gave rise to solid growth in China’s demand for seaborne iron ore which was exacerbated by disruption to the scrap market from the pandemic. At the same time, severe weather events constrained supply although cumulative shipments from the majors actually increased by 2% or 25 million tonnes. Chinese domestic iron ore supply also expanded by just over 7% to around 290 million tones to meet the record demand. These factors led to a 17% increase in the delivered price of iron ore in 2020. And this has been sustained so far this year. Turning to slide 7. While our iron ore business has benefited from robust demand and resilient prices, other commodities have seen more volatility. But we did see a marked recovery in the second half of the year. Demand for primary aluminum declined by around 3% in 2020. COVID-19 severely impacted consumption, although with notable differences in regional recovery rates. This was gradual in the west while China’s was V-shaped driving up prices in the second half. The copper price fell to a low of $2.09 per pound in March again due to COVID-19. The rebound was led once more by recovering Chinese demand supply tightness and declining inventories. Prices reached a seven-year high of $3.61 per pound in December, chased up by net-long investor positions of around 2 million tonnes. Less than 12 months ago these had been over 1.1 million tonnes net short. Underlying demand for titanium dioxide pigment fell sharply in the second quarter leading to deterioration in feedstock demand by the middle of the year. However, structural factors remain favorable for high-grade titanium dioxide feedstock and zircon supply. Now on to our financial results for 2020 summarized on Slide 8. As Jakob already mentioned, we’ve announced a very resilient set of financials against the backdrop of unprecedented conditions stemming from the pandemic. Starting with revenue. The 3% increase in revenue was mostly driven by price, in particular iron ore. Profitability increased further lifting return on capital employed to 27% and underlying earnings to $12.4 billion. Net Earnings reflect excluded items of $2.7 billion most notably exchange losses and impairments in aluminum and diamonds. We’ve further strengthened our balance sheet with net debt of $700 million at year end. The Board was therefore able to declare total dividends per share for the year of $5.57. Let’s now take a closer look at underlying EBITDA and cash flow. As you can see on Slide 9, the biggest driver in 2020 was commodity prices. These boosted EBITDA by $3.4 billion in aggregate nearly all of which was iron ore. Lower volumes were mainly from a reduction in gold grades at Oyu Tolgoi and reduced refined copper sales at Kennecott due to smelter maintenance. We also saw lower sales of value-added aluminum and titanium dioxide feedstock both driven by market conditions. Despite disruptions to operations and markets caused by COVID, our operational performance was strong and we delivered production broadly in line with guidance. Our focus on cost control and productivity improvements continued throughout the year. Lower energy costs increased underlying EBITDA by $500 million mainly from lower diesel prices and reduced coal prices for two of our PacAl smelters. We also benefited from continued respite on cost inflation for certain raw materials for our aluminum business. However, this was outweighed by other cost pressures notably fixed cost inefficiencies in our copper business from the lower volumes.
,: Turning to slide 10, in 2020, we further improved our return on invested capital to 27%. Our industry-leading profitability is an ongoing feature of our performance. For 19 of the past 20 years we’ve delivered double-digit return on invested capital. Most importantly, as shown on Slide 11, we have a business model that turns earnings into cash. Ever since we amended our capital allocation framework back in 2013 we‘ve delivered strong and stable free cash flow, averaging $6.8 billion over the last eight years. And we did it again in 2020 generating $9.4 billion of free cash flow. Let’s now take a closer look at our product groups starting with iron ore. Before talking about our iron ore performance, I’d like to echo Jakob’s words about the deep regret we feel about the tragic events at Juukan Gorge. We’ve reassessed all our activities that have the potential to impact heritage sites. We’ll continue to review mine plans to ensure protection of sites of exceptional cultural value and we’ve increased monitoring of operating activities. We’ve also integrated heritage management into our mining operations, so that our iron ore business now has primary responsibility for communities and social performance. Jakob will come back to this. In 2020, we increased our iron ore shipments by 1% and production by 2%. Improvements to our mine and asset health supported record total material moved, a solid performance considering weather disruptions and strict measures to manage COVID-19. These COVID-19 procedures are now business as usual for us. This translated into underlying EBITDA of $18.8 billion, which was 17% higher than 2019. We did experience a rise in unit costs. I’ll unpack that later. Free cash flow of $10.2 billion was up 7% and included the near 70% increase in capital spend. This was mainly related to increased construction activity at GudaiDarri our new 43 million ton per year hub which is due to ramp up in 2022. 2021 is set to be a key year as we tie in approximately 90 million tonnes of replacement mine capacity at our existing hubs in Robe Valley, West Angelas and Western Turner Syncline as well as Gudai-Darri. Our shipments guidance for 2021 takes into account the risks associated with this. Let me now turn to look at our iron ore unit cash costs on Slide 13. Since 2015, these have been stable at between $13 and $15 a tonne. In 2020, we came in just above that at $15.40. Two factors account for the increment. COVID-19 costs were $0.60 per tonne due to controls we put in place to keep our people safe such as additional cleaning and flights, screening and roster changes. We also experienced a higher monthly volatility in the iron ore price and a sharp appreciation in the Australian dollar at year end. This triggered exchange effects including losses on U.S. dollar receivables booked in our Australian dollar entities. Importantly, our underlying cost performance was flat year-on-year. In 2021 we see unit cash costs rising to just over $17 a tonne at the mid-point of our guidance. The biggest single effect is currency. For many years we’ve benefited from a relatively weak Australian dollar but this has now reversed. We’re assuming an exchange rate of $0.77 which adds about $1.60 or 12% to unit costs. As I just mentioned, 2021 is an important year for the new replacement mines in Gudai-Darri. Commissioning costs with as yet limited production give rise to an extra $0.50 per ton. Additional study costs for the next wave of replacement mines including Gudai-Darri Phase 2 and Western Range, along with other resource development costs add a further $0.30 cents. And, finally, other items such as underlying inflation and higher fuel partially offset by efficiencies add $0.40. While we have not provided specific cost guidance beyond 2021, we will be entering 2022 in much better shape. There will be an impact from our continuing Brownfield developments, which will include some longer hauls and steeper inclines. But these will be offset by the benefits from increased production capabilities at Gudai-Darri and the other replacement mines if market demand is there. We can also see further efficiency improvements from automation including better use of our own data. Moving onto aluminum on Slide 14, our financials demonstrate that this is the best integrated aluminum business globally. Production was stable despite COVID related impacts on our operations, and also on our markets which gave rise to lower sales prices and reduced demand for value-added products. Our focus on operational stability and cash flow generation, along with lower input pricing, enabled us to deliver solid underlying EBITDA just 6% lower and $1.9 billion in operating cash flow. The 3% return on capital employed reflects the toughest market for the industry since 2015. Despite this, we actually increased free cash flow by 9% to $900 million and profitability improved substantially in the fourth quarter which augurs well for a better ROCE in 2021. We continue to take action to address less competitive assets. On that front, we were very pleased to make two recent announcements. Last month we reached agreement on a new electricity supply from Meridian Energy which allows us to continue operating the Tiwai Point smelter in New Zealand until December 2024. And just this week, we reached an amended power agreement in Iceland that will allow ISAL to continue operating with an improved competitive position. Let’s now take a look at our copper and diamonds group on Slide 15. 2020 started with weak market conditions, COVID-19 restrictions and a 5.7 magnitude earthquake in Utah. We also experienced delays in restarting the Kennecott smelter following a planned shutdown and a temporary reduction in grades at both Kennecott and Oyu Tolgoi. However, a strong recovery in the copper price and fully operational smelter by October coupled with very tight cost control led to a 5% increase in EBITDA to $2.2 billion with margins ramping up to 47%. The $600 million negative free cash flow reflected lower dividends from Escondida and a sustained level of investment at $1.7 billion. This mainly related to the Oyu Tolgoi underground project where we made significant progress ending the year with a definitive estimate for Panel 0 in line with the ranges we first announced in July 2019. We were also careful not to slow any of our other projects such as the south wall pushback at Kennecott. This sets us up well for 2021 as we gradually access higher grades. Jakob will talk more about OT shortly. Turning now to energy and minerals on Slide 16, the business was flexible and resilient from an operational perspective while fully complying with significant COVID restrictions in the U.S., Canada and South Africa. At the iron ore company of Canada, we took advantage of stronger market conditions in Asia in the first half of the year and switched our product mix prioritizing concentrate over pellets and then returned to higher pellet production as European demand recovered. Underlying EBITDA of $1.6 billion was 7% lower with IOC shipping 8% higher volumes and benefiting from stronger prices, while Minerals was impacted by the COVID-19 restrictions and weaker market conditions. We progressed our evaluation projects with $200 million of funding approved for the Jadar lithium-borate feasibility study, which we expect to complete by the end of this year. Despite these challenges, energy and minerals recorded a very respectable 12% return on capital employed. Now, there is one thing that will not change at Rio Tinto and that is our capital allocation framework as shown on Slide 17. You will have seen this slide many times before but it is important to point out that we remain fully committed to it. Sustaining capital is a priority followed by the ordinary dividend. We then allocate between the balance sheet, replacement and growth opportunities and additional shareholder returns. We’re convinced that growth has to be about value generation and returns for our shareholders. It is not about volume. It is about building sustainable cash flow. Over the last few years, we have consistently talked about a disciplined ramp-up of our capital investments. This is exactly what we are doing. Slide 18 shows 2020 CapEx at $6.2 billion, 13% higher. COVID restrictions did slow the pace of spend in the first half, but while Zulti South remains on full suspension, we have not had to cancel any projects. We now expect to invest around $7.5 billion this year and next year bringing the spend for 2020 to 2022 to around $21 billion, a $1 billion increase. This increase is totally related to currency effects. Around half of our CapEx is Australian dollar-denominated and our guidance is based on an exchange rate of $0.77 versus $0.68 when we first provided guidance in October 2019. We introduce 2023 guidance for the first time at $7.5 billion. This includes a substantial amount for yet to be approved projects. As shown on Slide 19, our balance sheet remains very strong. Net debt dropped further to just $700 million or $1.6 billion on a pro forma basis when you include 2020 taxes paid in arrears. We also have high liquidity of over $20 billion and a long dated finance portfolio with average maturity of liabilities of around nine years. During uncertain times our balance sheet strength ensures we’re able to continue to invest in the business to provide superior returns to our shareholders and create optionality. Now onto shareholder returns on Slide 20, our policy, which dates back to 2016, is to pay out 40% to 60% of underlying earnings on average through the cycle. Acknowledging the cyclical nature of our industry, the board supplements the ordinary dividend with additional returns to shareholders in periods of strong earnings in cash generation. As you can see from this chart, over the last five years we have consistently exceeded our policy with an average pay-out ratio of around 73%. 2020 was no exception. Today we announced a final ordinary dividend of $5 billion and a $1.5 billion special dividend, bringing the total payout ratio to 72%. On that note, I’ll pass back to Jakob.
Jakob Stausholm: Thanks Peter. I think you very effectively demonstrated many of Rio’s core strengths. Our foundation is fundamentally strong. But there is also room for improvement. Our 2020 safety performance is the strongest in our 150 year’s history. Safety must remain our first priority. One accident, however minor, is one too many. Our people and our world class assets continue to deliver strong free cash flow resilient in almost all market conditions. And when it comes to allocating cash, as Peter said, we are absolutely committed to maintaining the discipline you have come to expect from Rio Tinto. These qualities are, in my view, at the core of Rio Tinto’s strong performance, and must be maintained. In fact, we should build upon our strengths while also addressing the clear opportunities we have to do even better. We will pursue this by focusing on four areas. Firstly, simply put, Rio Tinto must be the best operator. Our 2020 results demonstrate our operational strength and improvements, especially with the additional challenges of COVID-19. But we can further sharpen the consistency of our performance. More than anything this is about leadership and empowerment.  Secondly, I firmly believe that the foundation for our commercial success is impeccable ESG credentials. Our failure at Juukan Gorge highlights how much work we have to do. But you have my commitment that we will drive towards consistently high ESG performance. Thirdly, we must excel in development from identifying opportunities, to maturing and develop them in order to build the portfolio for the next decade and beyond. We will do this by using all our capabilities while maintaining an absolute commitment to capital discipline. However, we will only pursue opportunities that create value. We will not chase volume or commodities where there isn’t value or the assets that don’t fit our portfolio. Finally, beyond performing in those three areas, we must step up our external engagement; become a more outward looking company fully participating in the societies in which we operate. This is our social license to operate and it is judged by others. And it is essential for our long-term success. Now, my first task as Chief Executive was to carefully choose my leadership team. I fundamentally believe in teamwork. It will not be me taking all the decisions and I am certainly not the one that has all the answers. So, setting the team was absolutely crucial. Three weeks ago, I announced our new leadership team, a major change with almost everyone new in job. I decided to make these wide changes partly to ensure that we had the best possible leader in each position, partly to ensure the best possible team dynamics, and also to make the changes now so we have a stable team that together can develop on the journey we have in the years to come. As part of the evaluation process it was a particular highlight for me to learn how strong a leadership bench we have internally. I found exactly what I was looking for and I stand today in front of you very proud of the new leadership team. This is an experienced and very able team. They know Rio Tinto very well, and are all committed to unleashing the Company’s full potential. I am truly excited about what we can achieve together. The new executive leadership team will be effective only a few weeks from now and then the real work starts. Let me offer you a bit of insight into the agenda that we together will pursue. We have today announced a set of strong results, excellent financial performance and an improved operational performance in 2020 compared with 2019. But I believe there is room for improvement and we will pursue this. To start, we must achieve operational excellence by unlocking real and sustainable improvements at each asset. This will be done by ensuring every single operation achieves the same high standards as our best performing asset. We must empower our people to identify and apply ways of improving performance. We have some of the most talented people in the industry; truly experts in their fields. We must allow them to make the maximum contribution in unlocking excellence at every level of the organization. Finally, the effort will be integrated into the Rio Tinto production system that will capture these improvements, embed them, and sustain them for the long-term. Arnaud, as the new Chief Operating Officer, is the right person to drive these improvements. He brings deep mining and processing know-how, and operational experience gained from over 30 years in the industry. He has a proven track record of achieving operational excellence through sustainable productivity improvements and cost reductions, in a global business. However, this will be about teamwork, with the Product Group Chief Executives and our Head of Technical and Safety all working together. When I joined Rio Tinto, two years ago, one of the attributes that attracted me to the company was a longstanding track record and commitment to how it operated way beyond the financial performance. While the destruction of Juukan Gorge has understandably damaged our standing, I believe that Rio Tinto has sound ESG credentials. However, I see it as a core value a foundation for our business to have impeccable ESG credentials. We’re taking action to increase the focus on how we work with communities, particularly the Traditional Owners. A vital step has been to enhance our governance in this space. We are modernizing and improving agreements, eliminating confidentiality clauses, and being fully transparent when the Traditional Owners agree. We also have a critical role to play in transitioning to a more sustainable economic model. Our portfolio of high quality iron ore, copper, aluminum and minerals are not easily substituted and are vital for a greener future. We exited coal in 2018 so today we do not extract fossil fuels. Last year we set clear 2030 CO2 emission targets and set an ambition of being net zero by 2050. Today we set out our first Scope 3 goals, and a commitment to working with our customers and their customers to reduce emissions and decarbonize the production of certain metals. And we will include climate change targets in management incentive plans. And our TCFD-aligned climate change report will be put to an advisory vote at our 2022 Annual General Meetings. These are all significant changes that will drive behavior in our approach to tackling climate change. Turning to our portfolio, and how we renew it over time. We must double down on development, to create the portfolio for the next decade and the decade beyond. We have time to do so, our portfolio should not be seen through a quarterly lens, but in terms of decades. Our history has demonstrated an ability to continue to renew our portfolio and we must pursue this with excellence, daring to take some risks within our tight capital allocation framework. The list of projects are mostly known. There are important decisions to be taken in the next 12 months, we will, as a team, work them as hard as we can but also commit to making rational choices. We have progressed our major investment projects including replacement mines in the Pilbara, where we remain on time and budget to ramp-up production at Gudai-Darri in early 2022, Oyu Tolgoi underground, and the Kennecott pushback. At the Jadar project, we have advanced to the feasibility study stage, and declared a maiden ore reserve. The study is expected to be complete by the end of this year, at which point we will make a decision. We also continue to adapt our project development and execution, sharpening our capabilities. For example, we’re doing things differently at Winu with a more agile development pathway. We continue to work with our partners to optimize the Simandou project. We expect to complete the first phase of the technical optimization work of the infrastructure in the first half of 2021. Activity at the mine area has commenced and an update of the social and environmental impact assessment is underway. At resolution copper, the final environmental impact statement, led by the U.S. Forest Service was published last month. This is an important step, although we are a number of years away from being in a position to consider sanctioning a full development. Finally, we continue to further strengthen our project pipeline through our sector leading exploration activity. Oyu Tolgoi is an impressive mine. It started producing in 2014 and has already delivered over 1 million tonnes of copper. When fully ramped up, it will be the world’s fourth largest copper mine. The underground expansion is well progressed and we have overcome various technical and geotechnical challenges. We have identified a clear pathway for the ongoing development of the underground, with target date for sustainable production for Panel 0 of October 2022. Safety and productivity at the mine are consistently at the top end of the entire Rio Tinto portfolio. Oyu Tolgoi is Mongolia’s largest private sector employer more than 95% of the 12,000 employees are Mongolian. Oyu Tolgoi is a top 3 taxpayer in the country and the largest foreign direct investor. Since 2010, over $11 billion has been spent in Mongolia including salaries, payments to Mongolian suppliers, and almost $3 billion paid to the government. Although construction work has slowed due to COVID-19 restrictions, we remain on track to make a decision on the undercut in 2021. We also continue to have constructive discussions with the Mongolian government about increasing the benefits of Oyu Tolgoi for all stakeholders. I am in regular dialogue with all the stakeholders. Bold Baatar has already set his team and they have commenced discussions with the Government of Mongolia.  I remain convinced that we will be able to find mutually acceptable solutions as the Oyu Tolgoi development is not only an impressive engineering achievement delivering the needed copper to the world but it is fundamentally a development for the benefit of the Mongolian people. I’d like to conclude with my fourth area of focus. To truly unleash the full potential, as well as looking at how we can improve what we do internally, we need to be more outward looking and earn and protect our social license. As I said earlier, we must understand our role in society and investing in building meaningful relationships and partnerships, giving back to society and thereby earn trust. It will be others who will judge our social license. Clearly this must happen by all of us wherever we are in the world. However, given the significance of Australia to Rio Tinto, I created the role of Chief Executive Australia, and Kellie Parker is the ideal person for that role. She is a proven operator with first-hand experience of building relationships with host communities, governments and other stakeholders. She will lead our efforts with stakeholders across Australia, working closely with me and other Australian-based ExCo members. So let me summarize. We have again achieved a strong safety and financial performance in 2020. We have strong foundations to build upon and a clear path forward: to become best operator, build impeccable ESG credentials and excel in development. And with a clear focus on gaining a strong social license. I’m looking forward to you meeting our new Executive Leadership team during the year, and no later than the Capital Markets Day in the second half. We now have a full agenda ahead and I must say I am really looking forward to the work to progress the agenda, develop our executive team and make Rio Tinto even stronger and, over time, see our great company earn back its respect and credibility with all our stakeholders. In other words, Rio Tinto is very well placed, but we can do better, inside and outside the mine-gate, and we will. Thank you for listening in. We are now happy to answer any questions you might have.
Operator: Thank you.
Unidentified Company Representative: Thank you Jakob and Peter. Operator, Alice we can now take questions. Thank you.
Operator: Thank you. Ladies and gentlemen, we will now begin the question and answer session. [Operator Instructions] Thank you. And our first question comes from the line of Paul Young from Goldman Sachs. Please ask your question. Your line is open.
Paul Young: Thank you and good morning Jakob and Peter. Jakob a few questions on your iron ore assets and starting with the Pilbara question on heritage and CapEx. On top of the four mines currently under construction, roughly how many additional replacement mines do you need to approve from 2021 to ‘23 to maintain current production beyond 2023? Second question is on Simandou it's fascinating to see this amount of work at the mind set has commenced. Can you confirm again that you are considering an infrastructure joint venture with the Northern Chinese consortium through this technical optimization work? And then also can ask a Part B? How do you think what scenario does the Simandou create value for shareholders considering would impact the value of the Pilbara? Thank you.
Jakob Stausholm:
,:
Peter Toth: Thanks, Jakob and thanks for the question, Paul. So, as I talked about, this year, we will bring in the three new mines related to our existing hubs in the Pilbara and then t Gudai-Darri comes in and ramps up in 2022. They're the core. So, as we go into 2022 we go in there with a pretty sort of clear sort of set of assets and capacity there to which sort of is aligned with sort of our infrastructure. What we will start then is sort of -- and started already is the next phase of studies we've talked about Gudai-Darri Phase 2. We've talked about Western Range, those studies will progress. And they will start to sort of come in ‘23, ‘24. We've already built those into our sort of CapEx given guidance for ‘23. But you should expect the sort of next set of mines to come in that -- starting in that period. Thanks Paul.
Operator: Thank you. Our next question comes from the line of Jason Fairclough from Bank of America. Please ask your question. Your line is open.
Jason Fairclough: Good morning, everybody. Thanks for the call this morning. So just a bit of a simple question on iron ore production targets. So once upon a time, we were told that your iron ore business had a name play capacity of 360 million tonnes a year. Lately, it seems to be more like 330 million tonnes. And that's even with some pressure on product quality. How should we think about this in the medium-term?
Jakob Stausholm: Thank you, Jason. Look, I think actually, what you see here is entirely consistent to our Capital Markets Day, a year and a half ago, where we talked about where we were about our capacity, which is probably around 360 million tones, you got slightly different capacity on the point, where there is capacity, we have further improved the maintenance of the -- so that's less of a restriction. But we did say, a year and a half ago that 2020 and 2021 would be tough for the mines, we will have to run the mines hard before Gudai-Darri goes on stream. And that's exactly what we're doing. And therefore in a way, I'm very proud today to tell you that our production last year increased by 1% compared to previous year. And if you take the midpoint of our range for this year, there is further growth this year compared to last year. So I think we are faring exactly as we laid-out at the Capital Markets Day. And yes, next year when Gudai-Darri comes on stream, we have much more flexibility. But we only guiding for one year. Thank you.
Jason Fairclough: So, Jakob, if I could just follow up and in a way this comes back to Paul's question. Do you think that there's a risk here that with the new focus on these heritage sites, that your production and for that matter, Pilbara production in general, struggles to stay flat, never mind grow?
Jakob Stausholm: Look, I cannot remove all risks here. And I don't know, what would be the outcome of the new legislation in WA of course, but I must say and it's only two days ago, I was mine site at Brockman and visited Juukan Gorge. When I talked to people, when I talk to the Traditional Owners, when I talk to our people on site, I still see lots of opportunities we need to be to really develop the relationship being really respectful. But there is a big opportunity for us to develop things together. So I remain optimistic. And I think so far we have proven that we have been able to continue to produce and that's what we are indicating to the production guidance this year.
Jason Fairclough: Thank you, Jakob.
Operator: Thank you. And next question comes from the line of Hayden Bairstow from Macquarie. Please ask your question. Your line is open.
Hayden Bairstow: Thanks, good morning. Good morning Jakob. Just a question, I guess more on the sort of management changes and just getting an understanding of your comments before about, you think there's now the right people in the right roles? I mean, are we expecting to see material changes to these divisions and the assets within them, think that there's sort of these new sort of positions have been given license to do that, or is it about sort of getting cost down and beginning production consistency, as you said and licenses to operate? I'm just interested in your thoughts around that. Thanks.
Jakob Stausholm: Thank you. Look, it's a matter of preserving all the good things of -- and driving the four priorities I laid out in the presentation here. I'm very keen on making the big, significant changes to the executive leadership team quickly and stabilize the organization having as little change as possible. I gave it full thoughts should I change for example the product group structure and I together with consulting with the Board, we decided not to change that. So it's similar structure, there's a small little change as you've seen the move diamonds to sort of minerals. So it's now minerals and not energy and minerals and copper is purely copper. But we brought the Simandou project together, these are small adjustments to your model. Otherwise, I want the same structure. Quite frankly, the worst thing you can do at this point in time, I think is a big reorganization. We need now stability to pursue the agenda that I have laid out today. Thank you.
Operator: Thank you. Our next question comes from the line of [Indiscernible] Patrick from Deutsche Bank. Please ask your question. Your line is open.
Unidentified Analyst: Good morning, Jakob. Firstly, just to follow up on Simandou, just on the timeline. Can you shed any light on when you will have to make or could have to make a major investment decision on the project or decision not to participate? Is it this year or is it beyond 2021? And then secondly, on the climate front, you're clearly making tangible progress with the recent partnerships we've seen. But in the context of the results, you've just announced, do you think Rio’s is spending enough on downstream initiatives? And could that 1 billion climate budget that you have could that be revised higher in the near-term? Thank you.
Jakob Stausholm: Yes, and thank you. Look, we're not going to make a massive investment decision in Simandou this year. But I certainly expect the project to focus a lot. And we should get much more clarity about how it will look like and how we will work together, et cetera. So it's full steam ahead. But it's a very big project. Going to climate change, yes, look, we are all in on climate change. We are very committed the Board the Executive Team, I think you've seen our commitment, our only missions last year. And now with the Scope 3, but you also have to be realistic. The world doesn't have all the answers yet. And you can only focus things that fast. So we could try to spend more money on research and development. But the risk is that we just burn money. I actually think it's very meaningful joint ventures and is meaningful money we as spending here. And back to the 1 billion. So far we have taken good investment decisions that reduce our carbon footprint and actually are also profitable. And as long as it meets both criteria, I see no reasons why we shouldn't be able to accelerate. But again, it is difficult. It's a learning process. It is a ramp up. We are all in and we are trying to do as much as we can. But I think we are no different from many others in this world that that this is a big, big transition where we all have to learn a lot. So I think you've got the right guidance. And I think the numbers you're seeing here demonstrates a full commitment. Thank you.
Unidentified Analyst: Thank you.
Operator: Thank you. And next question comes from the line of Lyndon Fagan from JP Morgan. Please ask your question.
Lyndon Fagan: Thanks very much. The first question is just about the [Indiscernible]. There's a comment in the release about the 90 million tonnes of capacity ramping up this year. That's a lot of capacity. I'm just wondering if we can unpack that a little bit and talk about some of the risks around production and how you're dealing with that? And I guess once that's done, are you prepared to sort of put out there that system capacity at the mine port, and rail would all be matched at 360? The next question is just on Simandou. I guess before we learn what the sort of scope looks like, can we talk a bit about their community and heritage issues over there? There's a lot of communities within the Syncline of the rail. And I'm just wondering, from an ASJ perspective, is this a project that Rio’s can actually undertake? And would shareholders support a multibillion dollar investment decision in getting thanks?
Peter Toth: Lyndon, I might take your first question there just on the sort of 90 million tons of time. So, we have taken that into account that in both our guidance on production and our guidance on unit cost that we are doing those times this year, it is a lot of capacity to bring into the system, and what you want to remember effectively, this is time in capacity to existing hubs where we're building new mines and then connecting them into those existing hubs. So they will come on progressively during the year at those three mines, but it's all been sort of, I think, proceeding to plan, clearly some risks that are all taken into account in guidance. In terms of in terms of looking forward to 2022, as we said, we are pretty much exactly going into 2022, where we talked about the Capital Markets Day in December 2019. And it was Gudai-Darri in place that lifts our mine capacity up. And if the market is there, we will have capacity to go higher in the mine and match that to the ports and rail. Thanks very much Lyndon. I will give to Jakob I think on the second question.
Jakob Stausholm: Yes, look is Simandou -- let me take that one. I been there and it's a big learning experience to go there, it is going to be a very big infrastructure project above anything. And the answer to your question is, I don't know what the answer is that that the ESG is a table stake for us. And that's one of the reasons we think we can add a lot of value to the development of Simandou. And I also sent in my conversations with the government of Guinea that they think as well as much on these matters as we do so. So I see here is an area where we can make a contribution, but you can rest assured that we either bought or not going to take an investment decision that compromises our ESG credentials. Thank you.
Operator: Thank you. Our next question comes from the line of Alain Gabriel from Morgan Stanley. Please ask your question.
Alain Gabriel: Yes, good morning, gentlemen. One question from my side is on capital allocation. So your balance sheet is nearly a net cash position, you would probably generate an excess of 20 billion of free cash for this year on spot with no obvious big ticket items on the horizon. So what you have been consistent with your strategy so far? Do you think it is now time to revisit your capital allocation framework or introduce more flexibility on how you think about capital returns? Thank you.
Peter Toth: Yes, look, we don't know how the iron ore price, we know what the iron ore price is today. We don't know what it is tomorrow. So it's a bit of a theoretical calculation. But honestly, yes, the debt method is very low right now. And obviously, the stronger the balance sheet, the issue becomes to allocate our cash. What I actually think that our capital allocation framework serves us also, in a high price scenarios, I think you already see here. If you look at what we have done here with the dividend, adding up to 9 billion, and our free cash flow last year was 9.4 billion. We are certainly not stingy on paying back dividends. And we are also slowly but surely, as we have said over the last few years, ramping up our investments. So I think it works, and I think we have the balance right. Thank you.
Alain Gabriel: Thank you.
Operator: Thank you. Our next question comes from the line of Myles Allsop from UBS. Please ask your question. Your line is open.
Myles Allsop: Great, thank you. It's a couple of questions around Oyu Tolgoi and then the Scope 3 goals that you've set out today. But first of all, with Oyu Tolgoi, are you prepared to put more money into Mongolia, buying out the government stake increasing kind of your equity ownership, one way or the other? And if these discussions don't progress to plan, what could you use it beyond the point now of freezing stand and stopping underground work? Are you prepared to scrap the Dubai agreement? They're a little bit more color around the latest with Oyu Tolgoi and how that could evolve. And then with the Scope 3 goals that have been set out, I mean, how are you going to measure the achievement, 30% reduction in carbon emissions or intensity of your customers? And is that going to be part of your incentivization that the climate goals are part of management incentive? Is it going to be Scope 3 or as well as Scope 1 and 2, that'll be part of the incentivization package? Thank you.
Jakob Stausholm: Yes, so first of all, on Oyu Tolgoi, we are very committed to it. And we are actually putting in more money every single day because we are investing in the underground development and is progressing but there's nothing in the cart that we should start buying out anyone here. We are very comfortable with the risk sharing and the steak that we have in Oyu Tolgoi. What is all about right now is to have the right conversation and find the right solutions. And quite frankly, I don't know exactly what the solution is, we just having a setting a new team here, a little bit of a reset, and we are working very hard on building relationships. As I said, we have constructive discussions. And the good news is that there is a big win-win here for both the country, the Government of Mongolia and ourselves. So I just remain convinced that we will find solutions to very complex topics. So I really don't know exactly what the solution is. But if we both have an incentive to find solutions, and we have the right relationship, I remain convinced we will get to solutions. So that's where we are on Oyu Tolgoi at this point in time. Scope 3, yes, we are just entering today it's an important one. And I think the way you should look at it is a full commitment from our side to work on this. And I also think the world has changed quite a lot over the last 12 months. We now see a much more united world attacking the climate change agenda. We see, I mean, China is at the forefront, with the latest commitment to being neutral in 2016, which is going to be a massive challenge. So given them the magnitude of the industry in China, we see demands from our customers that we together work on solutions. So I will say to you, we don't know exactly how, but when we join forces and have everyone have the commitment, I'm sure we will find solutions.
Myles Allsop: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Glyn Lawcock from UBS. Please ask your question. Your line is open.
Glyn Lawcock: Good afternoon Jakob. Welcome to Australia.
Jakob Stausholm: Thank you.
Glyn Lawcock: Just on the Simandou project, I guess I missed a little unclear. So you're doing this study before you engaged or have you engaged with the SMB winning consortium, at least in the first place, because they seem to be moving ahead fast. They've already started construction on the port and tend to start construction on the rail if we based on what we're hearing. You are at risk of getting left behind? That's the first question. And then the second one is just on dividends. Yes, if I'd look at it, pro forma, with what you've announced today, the tax catch up in net debt at year end, it leaves you with pro forma net debt of about a 1 billion. So should I think about it going forward you mentioned you paid out almost 100% of free cash flow, is that how I should think about it? I know your policies unchanged. But is that sort of how I should think about it and in dividends, not buybacks going forward? Thanks.
Jakob Stausholm: Thank you. Adam yes, you take the dividend. I come back on Simandou.
Unidentified Company Representative: Thanks, Jakob. Glyn, I think on the dividend, you really should just review what we've done within the context of our policy previously, it's been very, very consistent the application of that policy, and I think it served us extremely well over time. So it really is that that 40% to 60% of over the cycle of payouts with additional payments as and when the overall settings are sort of conducive to that and I think that's exactly what we've done this year. In terms of form, we'll review it each time, different shareholders like different preferences where we're very aware of that. But we've gone for, Board conference special dividends this time. And I think that's where we'll leave it. So thank you very much, Glyn. Jakob, back to you.
Jakob Stausholm: Yes, look, I'm maybe not very helpful on this one Simandou, but as you probably can imagine, discussions and negotiations you like to keep inside closed doors. But I would say that a lot of engagement is happening. And I think it becomes more and more clear how we best can contribute to the development, looking forward to give you an update, but I'm not able to reveal much more at this point in time. Thank you.
Glyn Lawcock: Thank you.
Operator: Thank you. Our next question comes from the line of [Indiscernible] from Morgan Stanley. Please ask your question.
Unidentified Analyst: Good morning Jakob and Peter, thanks for taking my question. I've got two, first one is on the Pilbara iron ore. Look, you had a small reserve cub today in the iron ore reserves statement, I just wanted to focus here a bit on the reasons for that I take it was likely heritage issues and the mine plan for the next 12 to 24 months. So does this cut now, do you risk your production for the iron ore business, at least for the next 24 months? And is there any future recalculation risk here to reserve from heritage issues? That's the first one. Second one is on [YEDA] I understand a portion of that 200 million was budgeted for land acquisitions? How far down are you on that path and also these direct land acquisitions that this potentially add to the complexity in terms of royalties to landowners and then also perhaps the government? And also, is there a framework in place with the Serbian government for the project? Thanks.
Jakob Stausholm: Thanks very much for the question. So in terms of the Pilbara yes, we took a small reserve write-down 54 million tonnes, which we talked about in the release. I think that has to be put in the overall scale of the business. So, when you compare that to the overall reserve position, especially the resource position, it is a relatively small change, I think what you're really seeing is now that, we've really done a reset about our approach to heritage in the Pilbara. But it's going to be a continual process of working through that engaging with our partners and Traditional Owners to make sure that we are absolutely sort of in the right place around the ongoing heritage approval. I think the only thing that clearly we haven't factored in there is the fact that, the WA heritage laws are under review. So we just don't know how that will flow through as well. So that's not factored in. But I think what you're seeing in the big picture is just the sheer scale of sort of the business and the options that we have the ability to sort of internalize these challenges and just work through them over time, and retaining a sort of very robust production base left. So thank you for the question. In terms of in terms of [YEDA] studies are progressing. Yes, there's a portion there of sort of land acquisition that will be embedded and will be progressed this year, as we go through, but probably just best to say, the study programs are progressing as we would expect towards the decision at the end of this year, probably. Probably that's the sort of best guidance we can give at this moment in time. So thank you very much.
Unidentified Analyst: Thanks for that.
Operator: Thank you. And next question comes from the line of [Indiscernible] from Credit Suisse. Please ask your question.
Unidentified Analyst: Thank you very much. The question from my side is on the potential removal of underperforming assets. Because the announcement of the closure of your aluminum smelter JV in Netherlands earlier this week, underpins the move of cutting out underperforming assets? Did you already identify all of the underperforming assets? And do you have a percentage of sales number for those business group sales you currently review? That will be quite helpful.
Jakob Stausholm: Yes, thank you. Thanks for the question. I really felt, I joined two and a half years ago, when I felt that just before I came that that tremendous the world piece of work was done. We sold assets for almost $15 billion. And we sold them at good prices at a good time in the cycle. And that actually both simplified and purified our portfolio. So we don't have a lot of underperforming assets to deal with. We have been through a very tough time, particularly for the aluminum smelters. And I'm particularly proud of you probably will remember, around a year ago, we put two of our smelters up for strategic review. And recently we over the last few weeks we have just announced the energy resets both at our smelter in New Zealand and our smelter at Iceland, which kind of secured employment and improve competitiveness. So yes, we are very committed to addressing underperforming assets. But that doesn't mean closure or it doesn't mean necessarily a sale, that different ways as well. But the rest assured we are we are not kind of just accepting to have underperforming assets for the long haul in our portfolio. We still have some work to do. The energy reset for particularly some of our Australian smelters. Thank you.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question comes from the line of Dominic O’Kane from JP Morgan. Please ask your question.
Dominic O’Kane: Good morning, guys. Just two questions, the first on the Pilbara and turning to costs, I wonder if we could just maybe unpack the unit costs guidance forward for 2021. The increase year-on-year is largely attributable to FX, but the top end of the range would look a little bit high versus forecasts just like FX alone. So I wonder if you could just talk about some of the cost pressures that you may be experiencing in the Pilbara specifically around labor, foliage, the water table? And then with that incremental 90 million tons of capacity coming in over the next two years, can you confirm that we should be expecting unit costs to start to fall again? Second question is on Simandou, so we got CapEx guidance of $7.5 billion out 2023? Can you give us an indication of what the CapEx is in each of those years for Simandou?
Peter Toth: Thanks very much. So I might say the first question here on Pilbara costs. In terms of the unit costs, I mean, as I said, most of that increase is driven by exchange. So the exchange that effectively resets us to about $16, when we use what is what is effectively, the exchange rate in the market $0.77. From there that we, as I said, this year is a big transition year for bringing in those incremental tonnes into the system, and also for the commissioning of Gudai-Darri, and also for ramping up into the next phase of studies. So we've highlighted that we have study costs that are also increasing our overall cash unit costs as well. What we see is when we get it to the end of ‘21 into ‘22, we're in much better shape, those sort of one-off costs are behind us. So I think when you think about the profile of unit costs, think of us going into 2022 with those costs sort of -- for commissioning in the 19 million tons then dealt with. And, but that sort of all guidance from there at the highest sort of exchange rate. I think that's probably the best guidance I can give. And if the Jakob on Simandou.
Jakob Stausholm: Yes, look, I guess your question is how much we have in our CapEx guidance. And quite frankly, we don't disclose that because the way you should think about our CapEx guidance is that we risk a portfolio. And as you can imagine, every time you take a decision, it becomes a binary either it's 100% or 0%. So there is a risk part for each of our projects. And that's what it constitutes up. So I'm afraid I can't help you much on that one. Thank you.
Unidentified Company Representative: Operator, we have time for one more question, please.
Operator: Excellent. Our final question comes from the line of Richard Hatch from Berenberg. Please ask your question. Your line is open.
Richard Hatch: Yes, thanks very much. And congrats on a good set of numbers and two questions. First one and it's all good. As you look out into Panels 1 and 2, as the mine progresses? And where's your head at in terms of having to subdivide those panels into separate subpanels for geotechnical stability? And what are the risks around that? And the second one is, I appreciate I'm probably trying on something which you're not going to give, but are you able to give us any kind of ranges of CapEx for [YEDA], just because they're kind of near-term and it'd be useful to kind of have a handle on what kind of CapEx numbers that those projects are going to take. Thanks.
Jakob Stausholm: Thanks very much for the question on that. So in terms of -- the study that on Panels 1 and 2 are still ongoing. So we're not yet ready to sort of talk in detail about those designs, because we still have a lot of work to do with. We're very, very clear as we described the market on Panels zero, and we've got the definitive estimate there but studies ongoing with Panels 1 and 2. So those two just sort of be a bit patient with us. That's while we do the work. In terms of [Indiscernible] again, we're not yet ready to give further guidance on capital. The work is continuing. And as we've said that should come to an end, near the end of the year, when we will be sort of taking decisions on those projects. So just again, sort of just ask your questions on those two as well. Thank you very much.
Unidentified Company Representative: Great Peter and Jakob and Simon. Thank you very, very much. Everybody, thank you for joining this morning and this evening and we'll hope to see you soon in the roundtables or in one-on-one meetings. Have a good day and a good evening. Thank you.